Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Chemical Corporation Third Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today, November 2, 2021. I would now like to turn the call over to your host, Jeff Holy, Westlake's Vice President and Treasurer. Sir, you may begin.
Jeff Holy : Thank you. Good morning, everyone, and welcome to the Westlake Chemical Corporation Third Quarter 2021 Conference Call. I'm joined today by Albert Chao, our President and CEO; Steve Bender, our Executive Vice President and Chief Financial Officer; and other members of our management team.  The conference call agenda will begin with Albert, who will open with a few comments regarding Westlake's performance and a current perspective on the industry. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments, and we'll open the call up to questions. During this call, we refer to ourselves as Westlake Chemical. Any reference to Westlake Partners is to the master limited partnership, Westlake Chemical Partners LP, and similar references to OpCo refer to our subsidiary, Westlake Chemical OpCo LP, which owns certain olefins facilities. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs as well as assumptions made by and information currently available to management.  These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. Actual results could differ materially based upon many factors, including the cyclical nature of the industries in which we compete; availability, cost and volatility of raw materials, energy and utilities; governmental regulatory actions, changes in trade policy and political unrest; global economic conditions, including the impact of the coronavirus; industry production capacity and operating rates; impacts of extreme weather events; the supply-demand balance for Westlake's products; competitive products and pricing pressures; access to capital markets; technological developments; and other risk factors as discussed in our SEC filings. This morning, Westlake issued a press release with details of our third quarter results. This document is available in the Press Release section of our web page at westlake.com. We have also posted a presentation on our website to review the third quarter.  A replay of today's call will be available beginning today, 2 hours following the conclusion of this call. This replay may be accessed by dialing the following numbers: domestic callers should dial (855) 859-2056. International callers may access the replay at (404) 537-3406. The access code for both numbers is 2495584. Please note that information reported on this call speaks only as of today, November 2, 2021, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay.  I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our web page at westlake.com. Now, I would like to turn the call over to Albert Chao. Albert?
Albert Chao: Thank you, Jeff. Good morning, everyone. We appreciate you joining us to discuss our record quarterly results. In this morning's press release, for the third quarter of 2021, we reported another quarter of record net income of $607 million or $4.69 per diluted share as well as quarterly records for net sales, operating income and EBITDA. Net income for the quarter increased $550 million from the third quarter of 2020, reflecting the continued strong demand for most of our products driving a strong pricing environment. I'm very proud of the Westlake team for delivering these results despite the impact from Hurricane Ida on the operations in the third quarter as well as global supply chain constraints on our building products business. Strong demand dynamics in PVC, caustic soda and polyethylene created a healthy pricing dynamic, which contributed to our expanding margins. The strong and broad market momentum in global construction driven by tight supply-demand balances across our key products drove higher earned pricing and strong margins year-over-year in both our Vinyls and building products businesses. Our olefins segment benefited from a continuation of strong margins and solid volume gains year-over-year as the polyethylene industry experienced robust global consumer packaging product demand and tight inventories. This momentum in margins also continued from the second quarter into the third quarter in spite of a planned maintenance outage. The strong long-term prospects of the U.S. housing market and favorable demographics supporting continued housing growth, along with broad demand in U.S. repair and remodeling expenditures, provide for the compelling growth opportunities in our building products business. Our recently completed acquisitions in building products greatly expands our product offering with leading brands to meet these market opportunities. In August, we completed the acquisition of LASCO Fittings, a leading manufacturer of injection-molded PVC pipe fittings. LASCO brings additional markets serving the plumbing, pool and spa, industrial, irrigation and retail markets in North America, and is complementary to our existing product portfolio of PVC pipe and larger-diameter fittings. In September, we acquired Dimex, one of the largest processor of post-industrial recycled plastic material in the U.S. This acquisition further expands Westlake's product portfolio to include a variety of consumer products made from processed post-industrial recycled PVC, polyethylene and thermoplastics elastomer, and sells these consumer products throughout the nation in big-box home improvement retailers and online through nationally known e-commerce platforms. In October, we completed the acquisition of Boral, North America's building products business. This acquisition places Westlake into industry-leading positions, serving the housing market in concrete and clay roofing, premium siding treatment shutters, decorative stone and vinyl windows. These transactions transform our existing building products business into new strategic product platforms, which offer market-innovative, leading brands of exterior building products designed to enhance customer satisfaction. These products improve the energy efficiency, durability and value in residential housing, schools, hospitals and other buildings. We are pleased to welcome our new fellow employees from Boral, Dimex and LASCO to Westlake. These transactions are transformative and bring significant value benefits to Westlake through their attractive financial attributes and market-leading product platforms serving the housing markets.  The acquisition of Dimex introduces recycled plastic products that serve the consumer markets. Approximately 50% of our building products business is oriented to the repair and remodeling markets, which have proven to be more stable and predictable over the long term. These newly acquired products and brands when compared with Westlake's existing leading positions in PVC siding, treatment molding, compounds, PVC pipe and fittings, now provide our residential customers with a comprehensive portfolio of products and solutions, which enhance the everyday lives of countless individuals. We continue to look for opportunities to expand our business while driving value for our shareholders. Westlake has made significant progress in our strategic growth plans this year. And with a strong demand picture and leading positions in building products, PVC, caustic soda and polyethylene, we believe our businesses are very well positioned going forward. I would now like to turn our call over to Steve to provide more detail on our financial and operating results for the third quarter.
Steve Bender : Thank you, Albert, and good morning, everyone. In the third quarter, Westlake benefited from the continuing global economic expansion, resulting in healthy demand with leading market positions for our products, resulting in our record performance. This quarter, we reported quarterly net income of $607 million, which is a record for Westlake. In addition, for the third quarter of 2021, we reported record income from operations of $861 million and record EBITDA of $1.1 billion. Third quarter's year-over-year $550 million increase in net income is a result of significantly higher sales prices and margins for most of our major products. Third quarter 2021 net income increased by $85 million from second quarter 2021 net income of $522 million. The increase in net income was largely attributable to higher sales prices and higher margins in PVC and polyethylene as well as improving caustic pricing. Our building products business, we continue to experience strong results as North American housing demand remained robust, while the supply of building products inventories remain tight. Sales volumes in our Vinyls and Olefins segments in the third quarter were lower, reflecting weather-related impacts, planned maintenance and logistics constraints. Our utilization of the FIFO method of accounting resulted in a $30 million benefit compared to what earnings would have been if reported on the LIFO method. This is only an estimate and has not been audited. Let me provide some details on our segments, starting with our Vinyls segment. As the second largest global producer of PVC and the second largest global producer of caustic soda when combined, Westlake is the world leader in core vinyls markets. The leading position with strong market fundamentals in PVC and caustic soda enabled us to deliver strong results the quarter.  The solid demand for PVC was anchored by robust year-over-year global demand growth and solid strong PVC end markets using -- including construction and home remodeling. Our building products business continue to benefit from healthy North American residential construction and repair and remodeling demand. These factors drove higher PVC sales prices in the segment, and we benefit from strong integrated margins during the quarter. For the third quarter of 2021, Vinyls segment operating income was a record $601 million, increasing $559 million from the prior year period due to significantly higher sales prices and margins, as well as increased earnings in our building products business. Driven by higher sales prices across our major products, Vinyls operating income in the third quarter increased $166 million over our second quarter 2021 results. These increases were partially offset by lower volumes resulting from weather-related outages. In our Olefins business, the continuing robust global demand for consumer product packaging drove polyethylene prices higher in the third quarter and expanded our margins. Olefins third quarter 2021 operating income of $281 million increased $230 million from the third quarter of 2020 as a result of strong pricing and expansion of margins. For the third quarter of 2021, Olefins operating income increased $4 million from the second quarter of 2021 primarily due to higher sales prices and margins, while volumes were impacted by planned maintenance events. Next, let's turn attention to the balance sheet and statement of cash flows. We generated $755 million in cash flows from operations in the third quarter 2021. Third quarter 2021 capital expenditures were $144 million. Our solid balance sheet and our commitment to keeping our strong investment-grade financial metrics provided us the ability to raise $1.7 billion in the third quarter at an average maturity of 26 years with an average coupon of 2.7%. A portion of these proceeds were used to fund our acquisitions in the second half of this year. We continue to maintain our long-dated debt maturity profile with a weighted average debt maturity of 17 years while keeping strong credit metrics, anchoring our investment-grade balance sheet. Now to address some of your modeling questions. We entered the third quarter experiencing higher raw material and energy cost, which could persist through the fourth quarter. We expect our effective tax rate for the full year of 2021 to be approximately 23% and a cash tax rate of 21%. Our capital expenditures forecast for the year is now expected to be between $600 million and $650 million. The turnaround of our Petro 2 ethylene unit is currently underway and expected to be completed in December. With that, I'll now turn the call back over to Albert to make some closing comments. Albert?
Albert Chao : Thank you, Steve. This quarter's record highlights the earnings power of our products and our high level of integration, which extends through the value chain from natural gas liquids and other fixed stuff through to consumer building products. We are very excited about the new products and brands that Boral, LASCO and Dimex bring to Westlake. These leading products and brands will continue to drive our earnings power. As we look forward, with global supply chains and manufacturing beginning to normalize, we are well situated to continue to meet the global strong demand for consumer and industrial products. As the U.S. continues to have globally advantaged feedstock and energy positions with ethane natural gas versus high-priced oil-based feedstock utilized by our foreign competitors. We see PVC supply-demand dynamics remain favorable with a strong growth in demand more than offsetting the limited global capacity additions. We see continued strength in our PVC and chlor-alkali business, with healthy demand in caustic soda and chlorine. The strength in global construction and in manufacturing outlook should also be supportive of strength in the downstream building products business. In our Olefins business, demand remains favorable as essential everyday products such as consumer packaging and health care drive polyethylene volumes. However, there are global capacity additions in coming quarters. The strategic acquisitions of both North America, LASCO and Dimex expands our building product platform to significantly leverage our participation in a strong housing and repair and remodeling markets. The proposed U.S. infrastructure spending bill would significantly benefit our other building products business and drive construction demand for many years. Our ongoing growth initiatives in chemicals and building products are driving new and complementary products to our existing portfolio, which, when coupled with strong market growth, will deliver long-term value for our shareholders. We will continue to look at opportunities that both further our strategy of adding complementary products as well as increasing our vertical product and sale channel capabilities in all of our business segments to deliver strong financial performance. Our continued focus on ESG activities led us to make significant improvements in our operation and supply chain process for the betterment of our communities and where our products serve vital and valuable purposes. We are also developing products to build a more sustainable future. As part of our green initiatives, including introduction of a green caustic soda, known as GreenVin. In Canada, we have commercialized and now selling our PVC-oriented pipe, referred to as PVC-O which allows us to create a PVC pipe that uses less material while delivering the enhanced strength and capabilities of our current PVC pipes. In addition to these new products and dose of Dimex, which are derived from post-industrial recycled plastic, we expect to continue to bring back -- to bring to market products that will further our sustainability goals while meeting the needs of our customers and delivering value to our shareholders. In September, we published our 2020 Sustainability Report, and among many accomplishments we noted that we have achieved meaningful annual improvements in our carbon footprint over the past 5 years. This has been accomplished through applying technology and optimizing operations, resulting in our CO2 emissions falling by 8.7% from 2016 to 2020, and have ongoing efforts to continue to decrease our emissions. We are confident that Westlake is well positioned to serve the growing worldwide needs of our customers while maintaining financial discipline, which combined with the strong fundamentals of our business, enables us to deliver long-term value to our shareholders. Before I conclude, I want to take a moment to mention that in September, we celebrated our 35-year anniversary. We have grown significantly since 1986, and I want to thank all of the Westlake employees who made this possible. Thank you very much for listening to our third quarter earnings call. I will now turn the call back over to Jeff.
Jeff Holy : Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available 2 hours after the call has ended. We will provide that number again at the end of the call. Detemera, we'll now take questions.
Operator: [Operator Instructions] Your first response is from Mike Sison of Wells Fargo.
Q – Mike Sison : Congrats on 35 years, Albert.
A –Albert Chao: Thank you.
Q – Mike Sison : In terms of Vinyls, you’ve – it seems like every quarter, you’ve got a new record EBITDA margin. Any thoughts on the sustainability of that? When you look to the fourth quarter in the first half of ‘22, it looks like most of the consultants see pretty favorable sort of margins for the industry over the next couple of quarters. Just kind of any thoughts on the next year or so in terms of profitability for Vinyls?
A – Albert Chao: Thank you. The basic fundamentals for the Vinyl business is very strong. As we mentioned, there are very limited capacity additions coming on the world and actually been reductions in supply, not only from weather-related but from capacity reductions both in North America and in Asia and some in Europe. So the demand, however, it continued to be very strong. Vinyl is one of the best products for construction-related applications, whether it’s in infrastructure pipe and fittings for water and sewer or around the house, inside or outside the house. And with the strong U.S. feedstock advantage through it’s low-cost power compared with power cost in Europe and Asia, low-cost energy and a low-cost, ethane-based ethylene feedstock, we have one of the lowest-cost position to supply the growing demand for the Vinyl business, and including caustic soda as well. As well the economy recovers, caustic soda demand is increasing, and it’s again limited capacity available to supply, and hence, we have a strong pricing power. Now I just want to mention that as we head into the fourth quarter, that’s typically a seasonally weaker quarter, because of the winter season that construction typically slows down. However, since this year, there’s a lot of disruptions with weather related or capacity reductions. Inventory is very low throughout the industry both from the produce side and customer side. So there could be industry – inventory building even during the fourth quarter. So we will see, but we believe the near term and the longer term going forward, our Vinyl business outlook is very positive.
Q – Mike Sison : And then a quick follow-up. With your new building products portfolio altogether now, what do you think the growth rates look like next year?
A – Steve Bender: So Mike, it’s Steve. And so as we think about giving more transparency, we’ll be spending more time discussing that. We’ve just closed these 3 transactions just over the period of several months. And certainly, we want to give more transparency to that business in terms of its financial performance and giving more specific understanding of how that business is expected to perform. So hang with me a little bit, we do expect to give more transparency to that in the very near term.
Operator: Your next response is from Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan : Congrats on a great quarter, and good outlook here. So I'm just curious, you just noted, first off, on caustic soda, there has been some improvement. You've also seen some closures within the industry. Where do you stand on kind of replacement costs, if you could help us with that? Do you think that, just given the increases in chlorine as well, that we're anywhere near investment coming into the industry? Or are we still quite a ways away from that?
Albert Chao: Well, as you know, caustic soda is using the electrolysis process, and lower copper and materials are used for construction. And as we've seen in recent months or year that commodity price such as copper has really increased a great deal. So replacement cost has also increased for building caustic soda plants in our opinion.
Arun Viswanathan : Okay. And I guess on Olefins, we have seen some pullback in polyethylene pricing over the last -- spot polyethylene pricing in the last month or so. Is that because inventories are now normalized? Or how would you kind of rate the supply-demand and inventory picture in the Olefins chain?
Albert Chao: Yes. As weather-related issues have returned back to normal, some of the plants that were impacted by the weather has come back to operation. As we mentioned also, there are additional capacity that's coming online in the next few quarters. So I think the inventory balance has become much better than during the -- in the past year when there was a lot of tightness in inventory for the polyethylene business.
Arun Viswanathan : And then lastly, I'm sorry, if I may, just real quickly on your balance sheet. Obviously, still very healthy. Are you still in a position where you are pursuing further M&A? Or how are you thinking about using the cash that you generate from here on?
Steve Bender: So Arun, it's Steve. And so the answer is we're always looking for opportunities, certainly, those that provide real bottom line value. And as you know, we always have had a very active corporate development team looking at opportunities, both internal growth opportunities and acquisition growth opportunities. And so as we think about putting the capital we have to work, that's really where we're focused, it's really kind of the bottom line cycle average returns that we're looking for. So yes, there's always an opportunity to put that capital to work, but we're always looking to make sure it provides that real long-term sustainable risk-adjusted returns. So there's an active role, both now but always has been in putting that capital to work. So we'll -- as I say, as we move forward, stay tuned, but we certainly have not changed our focus at driving long-term sustainable bottom line value.
Operator: Your next response is from Kevin McCarthy with Vertical Research.
Q – Kevin McCarthy : Albert, we’ve seen coal prices rise appreciably in China. And of course, the government there is also implementing its so-called dual-control environmental goals. I’d be curious to hear your thoughts as to what impact that is having on PVC production and the PVC market regionally and globally, if you think it’s significant.
A – Albert Chao: Certainly. As you may know that China has a significant share of PVC capacity in the world, close to about 50%. About 80% of that is coal-based. And what’s happening with – not only the high price of coal but the lack of coal has impacted the production capability of these plants. And some of the coal PVC-based plants that are not integrated back to coal are forced to shut down. Further, with the dual-control, some of the provinces that has exceeded their dual-control, the greenhouse gas emissions to GDP ratio, and they were forced to shut down industries to reduce emissions. And we have plants in China, and we have been impacted also, those provinces. And they said the U.S. shut down for several weeks to reduce emissions. So even though the government has the cap on coal prices and the coal prices come down from the lofty heights, it’s still quite expensive. And going forward, the energy demand in China is still growing. So we will see how China would re-control the industries and whether the coal-based industry will allow to continue to grow or they will be frozen in the capacities or even a shutdown in some of the highly polluting plants, older plants.
Q – Kevin McCarthy : And then as a follow-up, I guess I’d be curious to hear your near-term outlook for PVC resin prices. We’ve seen U.S. export prices rise in recent weeks and months. Curious as to your view there for the fourth quarter and also on U.S. domestic contract pricing. Do you have any proposed increases on the table for November?
A – Albert Chao: Certainly, as we said, we’re heading to the fourth quarter in the Northern Hemisphere. Typically, it’s a weaker cyclical quarter with construction slowing down. However, U.S. is the largest exporter of PVC around the world, and the world demand, PVC is still growing as their economies recover from the pandemic. But because of the high energy cost in China and Europe, some of their production either curtailed or very high-cost position. So U.S., by far, is the most advantageous location to supply the rest of the world’s need for PVC. So we see continued strong demand for PVC, and hence, probability. Now you mentioned pricing. The industry – HIS has announced that the industry announced a $0.05 upon price increase for November. And even though we’re heading into the fourth quarter winter season, we believe there’s a strong demand and such price increase will be able to pass through in the U.S., especially when U.S. prices are below the export price the industry is seeing in other countries around the world.
Operator: Your next response is from Mike Leithead of Barclays.
Mike Leithead : First question on polyethylene. I think IHS is calling for a sizable polyethylene margin cut going into 4Q. 2 of your main public competitors have offered a more upbeat, less as far as expectation for 4Q. So I guess what camp do you guys fall in here?
Albert Chao: Well, as you know, polyethylene prices has moved a lot since June of last year. And with more capacity, as we discussed, coming up and more plants returning, the inventory balance is much better. And hence, there's a discussion of prices dropping starting the month of October and through December and possibly into early part of next year. The degree of drop really depends on the supply-demand and also depend on our foreign competitors who use primarily oil-based feedstock naphtha that's come from oil refining. It's a feedstock. As you know, oil price is quite high now, and depending on the winter and the temperature, there's talk about oil price even go even higher, depending how the cold winter would be and how high natural gas would be in overseas markets. So that would put a floor as to how low the U.S. price will come down. So I think it's -- the trend is that the price is coming down from the highs we have achieved, but as to how much it will drop depends on several things, as I mentioned, one is based on oil price.
Mike Leithead : Got it. Fair enough. And then I wanted to circle back to capital deployment. I guess one of your upstream peers decided to buy in their MLP last week, and their logic for that was it's trading at a 9% yield. And I just felt the market isn't willing to appropriately value this kind of drop-down growth story that it historically was. And then I look at Westlake Partners, it operationally performed very well, but it's trading at 7%, 8% yield, fairly similar cheap EBITDA multiple to Westlake. I guess, would you contemplate buying back in your MLP or you still committed to keeping this public for the long term?
Steve Bender: Mike, I think you'll continue to see that the performance of the partnership, and you saw the results this morning, continue to be very robust and very strong in the phase of a number of challenges -- weather-related challenges over the course of the last year or so. And so I think the model that we have performs well. It's something that I think the market has appreciated, and the prices stayed right in there. And I think if you look at the cycle average trading value of Westlake Chemical and the cycle average trading value of the partnership, it has traded at a premium valuation. It is clear that being able to exercise that arbitrage in size has been challenged over the last couple of years, but I still remain optimistic that the underlying value proposition remains, and that's something that we'll continue to assess on an ongoing basis. So we're pragmatic. We'll look at this on an ongoing basis, but value proposition still remains.
Operator: Your next response is from Frank Mitsch of Fermium Research.
Q – Frank Mitsch : Congrats on the record results and 35 years.
A – Albert Chao: Thank you.
Q – Frank Mitsch : You faced some negative impacts from Hurricane Ida in the third quarter. Can you size what that financial impact was?
A – Steve Bender: Yes. So Frank, you’re right. It’s been a challenging period of time between the various events that we’ve had over the course of time, whether it’s been Hurricane Ida or even some unplanned outages. And so order of magnitude in the third quarter, it was between $80 million and $90 million between the unplanned outages and Ida.
Q – Frank Mitsch : Between the unplanned outages and Ida, a total of $80 million to $90 million EBITDA impact?
A – Steve Bender: Correct.
Q – Frank Mitsch : Great. And you guys have been on force majeure on VCM and PVC. Where does that stand, when do you think you’ll be back up, if you’re not already back up?
A – Albert Chao: Yes. We are coming out of the force majeure, and we try to apply to regular supply to our customers’ needs.
Q – Frank Mitsch : Okay. So that’s – so the force majeure has been ended, correct?
A – Albert Chao: Yes, but we’re trying to come back as much as we can, still building inventory back as well as a balance.
Operator: Your next response is from Angel Castillo with Morgan Stanley.
Angel Castillo : Just, Albert, curious on -- with your integrated business, you're able to look at the entire process from chlor-vinyls. Curious how you're seeing the profitability in the merchant market and the -- kind of the upstream side versus downstream and then how that has evolved over the last few -- over the last 6 to 12 months as we've seen rationalizations and also just strong demand downstream? So how do you compare those?
Albert Chao: Certainly. As with the recovery of economy typically chlorine-related, which is PVC, would lead the economic recovery, hence we have seen that caustic soda price was lagging behind for quite a while as PVC prices and margins start to improve, as demand for PVC products, whether it's infrastructure or housing-related activities, demand is really growing very fast. But now as global economy recovering and expected to recover even next into 2022, demand for caustic, which lags behind the GDP, now is picking up we are seeing price increases in caustic as well. So I think we are seeing all-time high for ECU values. But among the chlorine derivatives, even given the high chlorine price, the best value for chlorine still goes to PVC. So we are fortunate that, as Steve mentioned, we are number 2 globally in PVC in capacities and also number 2 in caustic. So combined, I think we are the leading chlor-vinyl -- with PVC chlor-vinyl business in the world. So we're enjoying the benefit. And going forward, we see this continue as limited capacity is adding on, it's expensive to add all these integrated capacities. And we are fortunate that we are in a good position to capitalize on the up-cycle on this segment of the business.
Angel Castillo : Got it. That's helpful. And then -- I know maybe it's a bit early, but on the Boral acquisition, as you think about looking -- getting a closer look at the business, right now that you've completed that, any sense for positive surprise and negative surprises, and in how you're thinking about that $35 million in synergies and potential for potentially higher or better synergies than that?
Albert Chao: I'll talk to operations and Steve can talk about the financial synergies. We're very happy after 1 month of ownership of the Boral business. They have very good product leading positions, very good technologies and also potential for growth. And some of the plants and equipment because of the sales process, they were staffed of capital and hiring. So the plants were not running at full capacity. And now that we have stabilized and we're looking at opportunities to increase our production and demand is very strong in housing materials, as you all may know, and also to reduce some of the operating costs with further capital investments and increase production. So very happy with that. Steve?
Steve Bender: Yes. So when you think of the run rate, the $35 million of annual cost-related synergies is really where we're still guiding people today. And as Albert noted, there are a number of opportunities that we see here, as you heard us speak to the issue, they were at the significant in economies of scale and diversification of our leading building products business that he outlined earlier. And really, we think that it enhances our opportunity to really look for improvements above just that $35 million of cost-related synergies. And so when you think of opportunities beyond that, we'll look for those, of course, but there are going to be opportunities both on the revenue line as well as in the cost line. And as we see those and get comfortable with those, we'll certainly telegraph those to you.
Operator: Your next response is from David Begleiter of Deutsche Bank.
Q – David Begleiter : Albert, congratulations as well for the results and great 35 years.
A – Albert Chao: Thank you, David.
Q – David Begleiter : Albert, just on ethane, how do you view – how do you expect supply and price to evolve over the course of 2022 in ethane?
A – Albert Chao: Yes. Certainly, the future prices for ethane for 2022 actually is dropping from the highest in the first quarter, which are close to this quarter’s price, and dropping down to the mid-low 30s from pricing. I presume that’s because of the high oil price and gas price. There’s more rigs going to oil gasfields and more production as the only people are completing wells as – DUC wells, but also in new drillings. So we are watching the rig counts, which is moving up. So with more production, there will be more ethane available.
Q – David Begleiter : Very good. And just back on China. Do you expect that, at a very high level, less capacity do you add in China across the chemical landscape given the government’s enhanced focus on fuel commissions going forward?
A – Albert Chao: Yes. I think we are watching China very carefully. They are the largest consumer country for many of the chemicals and plastics and also a producer. They’re mainly importer rather than exporter of chemicals and plastics, and so their appetite will be very important in affecting the global prices for chemicals and plastics.
Operator: Your next response is from Hassan Ahmed of Alembic Capital.
Hassan Ahmed: I just wanted to go back to chlor-alkali and near-term pricing dynamics. Obviously, a bunch of moving parts in the chlor-alkali market. You've seen rationalizations of late, we've obviously seen the coal price escalation in China, the natural gas situation in Europe. And the commentary that I'm hearing from you both on the chlorine demand and the caustic demand side sounds very positive as you look into Q4 and 2022. Now with all of that as a backdrop, I see pricing where it is, caustic according to your pricing stack at $8.25 a ton chlorine at $4.43 a ton. How's -- and obviously, this is backward looking for Q3 when natural gas averaged $4 a million BTU. So how are you thinking about, A, the sustainability of these pricing levels or maybe even sort of as you look into 2022? From the commentary, it sounds like there's potentially more upside in pricing.
Albert Chao: Yes. Just looking at IHS, industry consulting firm, forecast, they're looking December and January down, about $10 a ton for caustic. But April, May, they're going up $10 a ton in caustic. So I think people are forecasting that caustic price will stay at this level throughout next year. And in chlorine prices, they are looking at another $150 a ton price increase in January of 2022. So I think people are pretty positive. So now on the U.S. economy and global economy continue to recover from the pandemic, demand for caustic and chlorine be strong, and the derivative products also demand will be strong. And hence, pricing would remain favorable going forward.
Hassan Ahmed: Very helpful, Albert. And as a follow-up, just wanted to go back to some of your commentary about China. Celanese on its Q3 call actually made some very interesting comments about how they feel the capital cost advantage that the Chinese used to enjoy has waned away, how permitting has gotten much sort of harder. And obviously, then we have ESG concerns all over the world. And we all know, obviously, one of the culprits of capacity addition over the last decade was China. But can you dig a bit deeper into what your expectations for capacity growth or lack thereof is in China over the next 5 to 10 years?
Albert Chao: That's a very good question. I think the Chinese government 5-year plans wish to upgrade industrial values going forward, and they want investments in high-tech areas and high-value areas and not the polluting basic industries. Even though they may have labor advantage of building, but the labor cost is going up high every year, the wage increase going up double digit for many years now. So they are -- wage-wise, they cannot compete with Vietnam or other countries who have pretty good capable workforce but at lower rates than in China. So I think the Chinese government, also very conscious of global warming as we hear even with the COP26 going on. They have various plans. And we heard India now also wish to have 2070 target of net zero emissions. So I think the whole world are working towards area. And as our industry, our goal also is to reduce, as we mentioned in our comment, reducing greenhouse gas emissions in our production as well. So I think this will have impact on new additions on the basic industries in China and around the world.
Operator: Your next response is from Alex Yefremov with KeyBanc.
Q – Alex Yefremov: Albert, roles emphasized return on capital over just size, but in your current building products, would you like to be significantly larger over the next few years through additional acquisitions? Do you have aspirations to be the bigger building products player?
A – Steve Bender: So Alex, when you think about the focus that we have in deploying capital, it’s not size that really is important, it’s the return on opportunities that we see. And you can see with the investments that we’ve made this year, the investments were focused in really putting capital in markets that gave us scale in sales channel, but also brought real compelling value both in our LASCO acquisition, the Boral acquisition and the Dimex acquisition. So these were all focused at really making sure that we not only had scale but value being driven, of course, with that scale. So it’s important to us to make sure that as we grow the businesses, we’re doing it with always the value focus. So that’s our focus. The answer is, over time, certainly, there’ll be additions to both the building products businesses and the various chemical businesses. But it’s really focused at making sure they’re all contributing the appropriate kind of returns given the risk adjustment to invest in those businesses.
Q – Alex Yefremov: And as a follow-up, any way you could size for us the cost increase for your business in Europe due to higher energy prices in the fourth quarter?
A – Steve Bender: So as you think about it, you’ve got, of course, higher energy costs and higher natural gas cost. And so without kind of segmenting now which is applicable in Europe and in North America that you know that our sensitivity to higher cost of gas, as an example, is $1 in MMBtu is about $100 million of EBITDA. But we haven’t broken that out necessarily in terms of the contribution there or the impact that has on our European versus our North American businesses. But of course, it’s more heavily focused on the North American business because that’s where the biggest footprint we have is.
Q – Alex Yefremov: And sorry, just to clarify, Steve, the $100 million includes Europe?
A – Steve Bender: It does.
Operator: Your next response is from John Roberts of UBS, Union Bank Switzerland.
Matt Konosky : This is Matt Konosky on for John. Given the recent acquisitions to the Westlake portfolio, should we be expecting a step-up in capital expenditures in future years?
A – Steve Bender: And so when you think about our ‘22 capital program, we’ll be giving that a good hard look this year. And as we think about finalizing our 2022 budget, we’ll talk about the capital spending budget in our fourth quarter earnings call, which will be in February. And we’ll give guidance for that capital number then. But of course, that business has opportunities to grow and develop the business that we’ve acquired, both Boral, LASCO and Dimex. And so certainly, you would expect there’d be some capital deployed on that. But let me wait until we finish our capital budgeting for ‘22 to size it for you.
Operator: Your next response is from P.J. Juvekar of Citi.
Eric Petrie: This is Eric Petrie on for P.J. What is your order backlog look like in building products versus more typical or historical levels? And does Boral have a similar backlog?
Albert Chao: Yes. I think for most of the building products business, inventory is very low and demand is very high. But as I said earlier, we're heading into the fourth quarter, the winter season. And typically, orders slow down and people are -- manufacturers are producing for inventory for the spring season, but because of the shortage of products, there may not be much of a slowdown as typical season would expect. So we'll -- time will tell, we'll see whether we have a dramatic slowdown or a little bit of a slowdown.
Eric Petrie: And anything specifically on days inventory? Is it 8 weeks versus more normal of 4 to 6 or how would you...
Albert Chao: No. Much less than 8 weeks, much less than 8 weeks. Today, most building product inventories are quite low.
Eric Petrie: Okay. And then secondly, on your GreenVin, low-carbon caustic soda, how do you see the scaleup of tons? And what kind of end markets are adopting this first? Is it alumina or other inorganic or organic end markets?
Albert Chao: We're still seeing the industry adapting to it. I think a lot goes to the consumer products. As you know, caustic is used a lot in soap and other consumer products. So I think those are probably the easiest to get consumer to be attracted to the GreenVin. But, however, as we see other industries want to reduce their greenhouse gas emissions, Scope 1, Scope 2 and Scope 3, that this will also help.
Operator: Your next response is from the line of Steve Byrne of Bank of America.
Q – Matthew DeYoe : This is Matt on for Steve. Albert, so you’d been under force majeure in Vinyls for a good chunk of 3Q, which kind of presumably hurt your PVC and caustic export tonnage in particular. So if we think about the transition to 4Q, what do you expect to see some like a quarter-over-quarter increase in available volumes given these FMs have lifted? And then what markets would this additional tonnage find itself?
A – Albert Chao: Yes. As we mentioned that we are getting over the impact for Ida and other unplanned outages. And so our force majeure has been removed, but we’re still moving towards building inventory and provide as much as we can to our customers’ needs domestically. We have been – not been exporting much at all to – even though the export prices has been better than local U.S. prices, but we want to make sure our domestic contract customers get the benefit first. So as availability improves, we’ll enter to the export market.
Q – Matthew DeYoe : Okay. Is there any indication on what the – I can ask off-line. But conversely, I mean, when we think about the PVC price momentum in the interplay with the global cost curve, right, like so we spoke a bit about China putting caps on coal prices, and we’ve seen a pretty significant deflation in the Chinese coal market over the last couple of weeks. So where do you expect PVC prices to ultimately settle out when production rates normalize, presumably at some point next year? Is this back – if we were to look at the I benchmark, is this something that we find ourselves back in the $0.60 to $0.70 a pound range we’ve been at – we were at for most of the last decade? Or is it some number that’s higher than that?
A – Albert Chao: That’s a good question. Looking at I’ forecast for domestic U.S. price, the average price for 2022 will be [$1.128] and average price for 2021 current year is $1.05. So they’re looking at a higher average price in 2022 than this year. On the export side, they are looking at average of $0.826 a pound for 2022 and for this year, looking at average price of $0.782. So the average price for next year is higher than this year. However, in October price, they’re looking at $0.919 for export. So they’re expecting next year’s price export to be lower. And time will tell whether that will come to fruition or not.
Q –Matthew DeYoe : I guess maybe a better question to ask is what do you think the normalized price of PVC is if it’s – is it J that I is suggesting or do you think it’s...
A – Albert Chao: Yes. But these are contract list price. So as you know that – depending on the customers, there could be discounts over these listed contract prices. But I think this – for ratio comparison, for 2020, the same contract U.S. price was $0.74. So you can see there’s large variations. So there’s no normal price. I think it’s partly feedstock cost, as Steve mentioned. Power costs in the U.S. are impacted a lot by natural gas prices, as natural gas price goes up, power price goes up and caustic and chlorine cost goes up and ethylene as well. So PVC, there’s no absolute price as a matter of what ethylene, power, caustic, all that will lead to the cost basis.  And then supply-demand will judge how PVC price would behave. And round globally, I think right now, U.S. and Europe have high prices. And – but in the past, Europe has the highest PVC price. So it’s not only cost basis supply-demand, but also global supply-demand. So all that has to play into what the price would be. So it’s very dynamic.
Operator: Your next response is from Matthew Blair of Tudor, Pickering, Holt.
Matthew Blair: I just wanted to check, if the turnaround last now little bit longer than expected, previous notes I have is about 60-day turnaround. And then it also looks like your CapEx for 2021 came down by about $150 million. So could you just talk about those dynamics?
Steve Bender: Matthew, you're right. The capital expenditure plan is lower than the earlier guidance we gave. And so the guidance here is between $600 million and $650 million for the '21 year. And as I said, I'll give some guidance for '22 once we finalize our budgeting plan, and we'll discuss that in February of next year for '22. For the turnaround of Petro 2, you're right, it is extended a little bit longer than planned and is expected to be completed in December.
Operator: At this time, the Q&A session has now ended. Are there any closing remarks?
Jeff Holy : Thank you again for participating in today’s call. We hope you’ll join us again for our next conference call to discuss our fourth quarter and full year 2021 results.
Operator: Thank you for participating in today's Westlake Chemical Corporation Third Quarter Earnings Conference Call. As a reminder, this call will be available for replay beginning 2 hours after the call has ended and may be accessed until 11:59 p.m. Eastern Time on Tuesday, November 9, 2021.  The replay can be accessed by calling the following numbers: domestic callers should dial (855) 859-2056. International callers may access the replay at (404) 537-3406. To access the code for both numbers is 2495584. Goodbye.